Operator: Thank you for standing by, and welcome to ReNew's Third Quarter FY '26 Earnings Report. [Operator Instructions] I would now like to hand the conference over for opening remarks. Please go ahead.
Anunay Shahi: Thank you. Good morning, everyone, and thank you for joining us today. We have put out a press release announcing results for our fiscal 2026 third quarter ended December 31, 2025. A copy of the press release and the earnings presentation are available on the Investor Relations section of our website at www.renew.com. With me today are Sumant Sinha, our Founder, Chairman and CEO; Kailash Vaswani, our CFO; and Vaishali Nigam Sinha, our Co-Founder and Chairperson, Sustainability. After the prepared remarks, which we expect will take about 30 minutes, we will open the call for questions. Please note that our safe harbor statements are contained within our press release, presentation materials and materials available on our website. These statements are important and integral to all our remarks. There are risks and uncertainties that could cause our results to differ materially from those expressed or implied by such forward-looking statements. So we encourage you to review the press release and the presentation on our website for a more complete description. Also contained in our press release, presentation materials and annual report are certain non-IFRS measures that we reconcile to the most comparable IFRS measures, and these reconciliations are also available on our website in the press release, presentation materials and our annual report. With that being said, it's now my pleasure to hand it over to Sumant.
Sumant Sinha: Yes. Thank you, Anunay. Good morning, everybody, and good evening, depending on your time zones. I'm glad to have you all on our earnings call for the third quarter and the first 9 months of fiscal 2026. The year 2026 has kicked off with good news on the macro front. As you all would be knowing, a few days ago, India and the U.S. have agreed on a trade deal. Apart from reducing the general overhang and uncertainty, this is likely to also open up the U.S. market again for Indian exporters and benefit the economy overall. This has also benefited the rupee in recovering some value versus the dollar. Additionally, the financing environment remains benign with interest rates on a downward curve. All this has enabled India's growth projections to stay above 7% in fiscal 2026 with roughly the same growth rate forecast by the Government of India for fiscal 2027 as well. Coming to our sector, we have also seen some recovery in electricity demand as growth rebounded sharply in December 2026, with slightly better numbers in January 2026 as well. Power demand is expected to rebound to normal levels in fiscal 2027. In today's call, while I will cover the updates for the quarter, I will also briefly cover the strategic path forward for us as a company. Turning to our highlights. Since December of last year, our operating capacity has increased from 10.7 gigawatts to 11.8 gigawatts. Given that we have also sold 900 megawatts during this period and adjusting for this, our portfolio actually increased by 19% or 2 gigawatts over the last 12 months. We continue to focus on optimizing our portfolio for lower execution risk, CapEx and more predictable cash flows. And hence, for our complex projects, we have decided to replace part of our wind of those projects with more battery energy storage systems, or BESS, and solar capacity. We have reduced, therefore, the wind capacity in our committed portfolio from 2.5 gigawatts to approximately 850 megawatts, effectively taking up now to 19.2 gigawatts, which is inclusive of approximately 1.5 gigawatts of batteries. This pivot enables us to lower CapEx, reduce execution risk as well as more accurately forecast our future cash flows owing to less volatility in the weather patterns. Coming to our financial highlights. Our adjusted EBITDA increased by 31% to INR 74.8 billion for the 9 months ending December 31, 2026, accompanied by an over sixfold increase on profit after tax. We also successfully raised $600 million through a bond offering and successfully refinanced our previous bond due in July 2026. The offering received demand in excess of $2 billion and we were able to reduce the interest rate from the earlier 7.95% to 6.5%, therefore -- thereby, saving approximately $9 million in annual interest expense. This was also the first bond issued through GIFT City. We also continued our capital recycling engine and sold another 300 megawatts of solar assets this quarter. Our manufacturing business contributed INR 10.8 billion to our adjusted EBITDA for the first 9 months. As a result, we have increased the lower end of the guidance range for both our adjusted EBITDA and megawatts for the year. We now expect to deliver INR 90 billion to INR 93 billion of adjusted EBITDA, of which our manufacturing business should contribute between INR 11 billion to INR 13 billion. We have also narrowed the range for our project guidance and expect to construct between 1.8 and 2.4 gigawatts in the fiscal year ending March 31, 2026. Lastly, and most importantly, ESG is at the core of everything we do. I am happy to report that we continue to outperform on our ESG commitments. We have received an A grade rating from LSEG and a score of 90.41 out of 100, effectively placing us in the top quartile globally. We have also received an A grade rating from CDP Climate Change and Water assessments for effective water management at our plants. Not only this, but we have also been able to get water positive certification for 2 of our sites. Turning to pages 8 and 9. I wanted to highlight that this year marks a significant milestone for us as we mark 15 years of our operations. We now have 3 mature businesses, comprising a utility-scale IPP business, a C&I business as well as our manufacturing business. Turning to Page 10. It is important to note the crucial strides ReNew has continued to take against the backdrop of a transaction. We have commissioned approximately 1.9 gigawatts, ramped up our manufacturing capacity and also raised $100 million from BII, British International Investments, to finance the cell expansion of our manufacturing business. Our C&I business is among the market leaders in this segment, and our portfolio has expanded by approximately 30% over the past year through contracts with marquee customers. Leverage also continues to trend downwards meaningfully, and we are already at approximately 5.5x levels for our operating portfolio, which is debt-to-EBITDA. Moving to Page 11, I wanted to spend some time highlighting our key strengths. While everyone knows the size and scale of our portfolio, both in utility-scale and C&I, over the years, we have developed in-house O&M and EPC capabilities. We have also secured connectivity for our entire portfolio, including for our letter of awards, with 5 to 6 gigawatts of spare connectivity on hand. This is an important differentiator as timely connectivity continues to be a key metric in the sector that we operate in. Moving to Page 12. It is important to note that we have been consistently growing our EBITDA at approximately 17% per year since our listing. We have managed to do this without issuing any new equity and relying on capital recycling, which has been more attractive for us. On Page 14, I would like to add some new elements that will be pivotal for both growth, predictability and profitability. We have derisked our product execution and improved predictability of future cash flows by increasing more BESS and solar in our portfolio and reducing the reliance on wind. This will enable faster execution and more predictable revenues given that we already have a 25-year PPA backing these tariffs. Our capital needs will continue to be fueled by a mix of internal cash generation and capital recycling, enabling us to improve returns. Lastly, and most importantly, we will now have increased focus on balance sheet strength and discipline and will actively look to reduce leverage even further. While we are now delivering profitable results, a focus on leverage and cost optimization should further enhance our returns and cash flows. Turning to Page 15. We have provided some run rate numbers based on the current configuration, gross and net of asset sales. We wanted to demonstrate that by selling about 1.6 gigawatts over a period, we can effectively reach a portfolio of 19.2 gigawatts without having to raise external capital, as well as reduce headline leverage, including under-construction projects, from the current 6.7x levels to under 5.5x. If we are able to do more asset recycling or farm-downs, we plan to use that extra capital to get the leverage and corporate debt down even further. Moving to business updates on Page 17. We continue to deliver on operating megawatts and now have an operating portfolio of 11.8 gigawatts, an increase of 19% adjusting for the 900 megawatts of [ asset additions ] during the last 12 months. Our overall portfolio is now 19.2 gigawatts inclusive of BESS. In the past 9 months, we have commissioned over 600 megawatts of wind projects and over 900 megawatts of solar. Turning to Page 18. Our manufacturing business continues to perform above expectations and has delivered an adjusted EBITDA of INR 10.8 billion in the first 9 months of the current fiscal. The business has an external order book of 900 megawatts. Our under construction 4 gigawatt cell facility is progressing well and we should see it deliver its first cells later this fiscal year -- later next fiscal year, actually. Our module facilities are producing over 12 megawatts per day and have produced 3 gigawatts this year-to-date, but our cell facility is producing over 5.5 megawatts per day and has produced 1.4 gigawatts this year till date. So far this year, we have sold 2.6 plus gigawatts of modules, of which approximately 1.5 gigawatts have been sold externally that has been used as part of our own operations. Turning to Page 19. Our C&I segment has done exceedingly well and is one of the largest C&I portfolios in the country. We have developed a strong partnership with global tech giants like Amazon, Microsoft and Google, as well as expanded our customer base across the country. Overall, 50% of our portfolio is with these tech giants. The business is also well placed to tap into upcoming business opportunities such as energy management services and supply of renewable energy to data centers. Now I will hand it over to Kailash to discuss the financial highlights. Kailash, over to you.
Kailash Vaswani: Thanks, Sumant. Turning to Page 21. We continue to deliver consistent profitable growth. Since the same time last year, we have constructed over 1.9 gigawatt of projects, a 19% increase in operating capacity after adjusting for the 900 megawatts sold during the trailing 12 months. This year, so far we have commissioned 1.6 gigawatts of renewable capacity. Our revenue increased by 48% for the first 9 months of this fiscal compared to last year due to increase in megawatts and a meaningful contribution by the manufacturing business. Our adjusted EBITDA for the third quarter of this fiscal is also up, largely on account of gains from asset sales, scaling up of our manufacturing business as well as an increase in the operating megawatts. Turning to Page 22. Our headline leverage continues to decline consistently. We had reduced from 8.2x in December 2024 to 7x debt/EBITDA at present, and at 6.7x once you exclude the contribution from our JV partners, which are [ equity ]. On a trailing 12-month basis, the leverage for our operating portfolio was approximately 5.6x. Do note that our trailing month EBITDA is not reflective of the run rate EBITDA for these assets as many of these assets have less than 1 year of operations. We continue to pursue all options that will decrease our leverage ratio at the consolidated level, such as asset recycling, cost optimization and a reduction in our corporate debt. Turning to Page 23, which covers details of our financing and asset recycling. Recently, we issued a $600 million bond at a coupon of 6.5%, which replaces the earlier bond which was at 7.95%. This is the first one from India's GIFT City, making it a marquee transaction. This issuance received strong investor interest of greater than $2 billion and has also enabled us to save $9 million in interest costs annually in addition to withholding tax savings. Additionally, we also concluded sale of a solar 300-megawatt asset, taking our total asset sales for the year to 600 megawatts, through which we have raised a total of $275 million through capital recycling this year, including the $100 million that we raised from BII from our manufacturing business. Let me now hand it over to Vaishali for comments on ESG.
Vaishali Sinha: Thanks, Kailash. Turning to Slide 25, let's look at the advancements in renew sustainability initiatives and targets. The global landscape for ESG in 2026 demands mandate reaction and demonstrable progress, and we are proud to be leading the way in the renewable energy sector and beyond. Starting with our recent ESG ratings. For the LSEG ESG rating [Technical Difficulty].
Operator: It appears we've lost connection with our speaker. One moment while we reconnect.
Vaishali Sinha: Hello?
Anunay Shahi: Yes, I can hear you, Vaishali.
Vaishali Sinha: Yes. So for the LSEG ESG rating, we received a remarkable score of 90.1 (sic) [ 90.41 ] out of 100 and a grade placing us in the top quartile globally. We are ranked second among 346 companies in our sector, reflecting a strong 7% year-on-year gain and clear industry leadership. We also excelled in the CDP Climate Change and Water assessments. We received an A rating in the Climate Change Assessment, featuring us in the prestigious Global Corporate A List, and retained an A- rating in Water Security. Overall, we are ranked in the top 4% globally by CDP. Water stewardship is a core pillar of ReNew's environmental strategy embedded across our operations. We successfully initiated a water positivity pilot, certifying 2 sites as water positive. Our solar site in Ashok Nagar, Madhya Pradesh were certified as water positive, making it India's first water positive solar plant. These achievements underscore our commitment to setting new benchmarks for the sustainability -- for sustainability in the sector. Now turning to Slide 26, let's review our advancements across the 4 pillars of our ESG initiatives and targets. Under the environment pillar, we have achieved our target being -- a target of being carbon neutral by completing the verification for the fifth consecutive year for fiscal year '24/'25. We continue to remain aligned to our annual SPT targets, achieving an 18.2% reduction in Scope 1 and 2 emissions from the baseline in fiscal year 2025. As the country advances towards sustainable economic and inclusive development, our CSR initiatives have also evolved to strengthen the priorities of new India. Our initiatives have positively impacted over 1.7 million lives so far. A major highlight is our Project Surya, which is skilling 1,000 salt pan workers as solar technicians, with 720 women trained and over 200 all replaced in the sector, significantly boosting our gender equality and skill employment. Under governance, we are making strong progress towards our target to rank amongst the top 5 global energy and utilities company by 2030 across leading ESG rating agencies. This is reflected in an S&P Global CSA score of 84 and LSEG score of 90.4 and top-tier CDP ratings of A for Climate Change and A- as for Water. These results reflect our continued commitment to responsible and sustainable practices. I will now turn it over to Kailash. Over to you, Kailash.
Kailash Vaswani: Thank you, Vaishali. Turning to guidance for the fiscal year ending March 31, 2026. We have increased the lower end of our EBITDA guidance range by 3% and now expect that our adjusted EBITDA will be between INR 90 billion to INR 93 billion. We now expect to construct 1.8 to 2.4 gigawatts, up from 1.6 gigawatts at the lower end of projects during the year, and generate cash flow to equity of INR 14 billion to INR 17 billion. We are also increasing the guidance for the adjusted EBITDA contribution from our manufacturing business to INR 11 billion to INR 13 billion. With that, we'll be happy to take questions.
Operator: [Operator Instructions] Your first question comes from Maheep Mandloi with Mizuho.
Maheep Mandloi: Okay. Just one question on the revised strategy, something that you talked about having more solar and BESS only projects going forward. Could you just talk more in detail about that, what drove that decision, so all the puts and takes there? And on the solar side, you have been manufacturing the modules yourselves. Are there any plans to also do something like that on the BESS side as well?
Sumant Sinha: Yes. Thank you, Maheep. Yes. Look, so the reason we are basically decreasing the amount of wind in the portfolio is because when we bid out some of these projects, at that time, price levels were, for BESS, were significantly higher than where they are right now, and also for solar. So in general, with prices of BESS coming down substantially, the ability to firm up power through solar plus BESS has actually improved. And therefore, to get to the right solutions that are desired by the customers, we require essentially less wind from an overall new configuration standpoint. So that is one reason that the amount of wind has decreased. The second thing also is that, as you know, we've had experience in wind where PLS have been unfortunately lower than expected over the last 7 years or the last 5 years. And we don't know exactly when that trend will reverse. It may reverse next year, it may take a little longer. But fundamentally, the variability in wind is a lot higher than it is in the case of solar. And execution also in general, because a lot of the execution in solar is in Rajasthan where it's easier to get land, and a lot of the execution of wind is in sort of Deccan, Central India, which a lot of it is agricultural land, it's usually harder to get. And so therefore, to do a similar amount of capacity is easier in solar than it is in wind. And so for both of those reasons -- I'd say, all 3 reasons, which is related to change of price in BESS, change of the issue of wind variability and the issue of easier execution in solar, we have, therefore, tried to reduce the amount of wind in our portfolio going forward. And so in the close to about 7 gigawatts of now capacity of PPAs that we have, we have reconfigured those projects as we are allowed to under the terms of the bid, of the various bids, and we are now, therefore, trying to go for a higher amount of solar plus BESS. There is, of course, still close to 1 gigawatt of wind, but is down substantially from 2.5 gigawatts that we had earlier. So those are the reasons. As far as manufacturing BESS is concerned, it's not something that we've actively looked at seriously at this point. And the reasons are actually twofold. One is -- or I would use threefold. One is that there is no restriction at this point on imports of batteries from China -- or cells from China and you know that you can import at a much cheaper level than you can manufacture domestically. And so that is one reason. The second reason was that, on the technology front, technology moves a lot faster in the case of batteries. And so it just requires a lot more expertise to be able to get into the understanding of the right cell technologies and so on. And a lot of the cell manufacturing in the country, or in any country for that matter, is really driven by the EV industry. And so that's a market that we obviously would not be targeting for our BESS production, or a lot of it would have to go into that segment, which is something that we don't understand as well. And so that's why we haven't looked at cell manufacturing so far, or batteries and manufacturing so far.
Maheep Mandloi: Got it. I appreciate that clarity. And then maybe just on the update on the take-private or the course since here, like in one of the slides you talked about the path forward here. Is that the strategy going forward, or should we expect more in terms of the path forward, or more talks on privatization here?
Sumant Sinha: So Maheep, that's not something that we can really comment on, obviously, as you know, because that's a very specific topic and that, should there be something that requires to be commented on, that the company will make an appropriate disclosure at that time.
Operator: The next question comes from Nikhil Nigania with Bernstein.
Nikhil Nigania: Good to see the focus on reducing leverage and increasing solar plus BESS instead of wind. My first question was on the industry issues, which are broader, which is transmission project delays, and curtailment, both which are outside our control but are impacting the industry, are we seeing any directional improvement on those 2 aspects, or they continue to be a hurdle for us?
Sumant Sinha: Yes, Nikhil, thanks for the question. So you know that, obviously, these are issues that have got now a lot of visibility because it's impacting the industry as a whole, and therefore, there has been a lot of discussion within the ministries, that is MNRE and MoP on how to deal with this issue. And there's a lot more focus on how to get transmission execution improved. And there are various things that the government is doing, which I can tell you about separately perhaps or you can also find out what's happening. And the same thing on curtailment. So essentially, in the case of curtailment, a joint committee has sort of been established between the secretaries of MNRE and MoP to look at how to deal with this issue and how to essentially look at this loss, which obviously accrues to us, but which should actually get borne by a broader set of stakeholders. So that is something that is under discussion right now. I don't know exactly which direction of where it will finally end up at or even how long it might take to get to the right -- to the conclusion. But certainly, there is a recognition that this is a loss, that is a systemic loss, and there is no reason for only the developers at the sharp end of the stick to be taking on this loss in our books. So that philosophy is accepted. What is their idea of dealing with this is something that the government is thinking through. And on transmission as well, they're working on a lot of different things to see how they can improve the transmission build-out.
Nikhil Nigania: Got it. Just a follow-up on that, on the curtailment bit. Is it fair to assume where we have a GNA and not a T-GNA? There we are compensated by the DISCOM in case of curtailment?
Sumant Sinha: Yes, that is the case. So for example, in our situation, of the total loss we've incurred on account of this combined issue, approximately about 30% or 35% we're getting compensated back because we had GNA -- a permanent GNA. So when you have a permanent GNA, you basically get -- you get paid based on your schedule, rather than on the power that you're supplying. And in the case where you have a T-GNA, of course, you have to take the loss on your chin, which is now what the government is trying to figure out how to socialize that loss a little bit more across all stakeholders. But in the case of GNA, we get compensated.
Nikhil Nigania: Got it. Appreciate that. And one last question on the manufacturing bit, I mean, a good source of cash for us. On the cell manufacturing side of the cell, are we seeing any compression in margins or that continues to hold strong?
Sumant Sinha: So far, it's held up. There was a temporary lull when -- post -- during the monsoons when inventories tend to build up a little bit and execution slows down. But margins have again picked up a little bit in this current quarter. And it looks like the demand is reasonably okay at this point.
Operator: The next question comes from Puneet Gulati.
Puneet Gulati: My first question is on the change in configuration with more towards BESS and solar. Would it be fair to say that, even unadjusted for risk, the IRRs are better than what you could get out of wind?
Sumant Sinha: I would say not at the time of bidding. But what has worked out historically in solar, because of CapEx reductions, has been that people have ended up with higher IRR than solar, because CapEx has declined, sometimes more steeply than expected. We are seeing a bit of reversal in that right now, as you know, because people have bid very aggressive numbers in recent auctions and prices have actually gone up given what's happening in China and so on. So it's a little times dependent. But in general, I would say that solar has tended to give higher returns than wind on account of reduction in CapEx over a long-ish period of time.
Puneet Gulati: Right. So for your projects, if you were to execute it with wind versus solar, you'll earn more out of it?
Sumant Sinha: If you do it more with solar than with wind, obviously, look, what happens is that we look to optimize our returns on the configuration at all points in time, right? Now as I said, there are 3 reasons of shifting away from wind. One is just configuration optimization, because of the new capital costs that are now available in the market for BESS. So that is allowing us to get better returns than what we had assumed at the time we bid, okay? So that is basically what's happening. But when you tend to execute when the risks are higher, not just on the capital cost side, but -- and we've seen costs overall happening in wind more frequently than we've seen happening in solar because of the execution problems that I was mentioning. And secondly also, once the asset is up and running, then also sometimes we'll see that wind performance does not show up as expected, and therefore, returns end up going down. So I would say that those are things that you can't necessarily -- or you don't really model for necessarily, but those end up happening in real life. Okay? So -- and no, it doesn't happen in every case, but on balance, it can happen. And so therefore, in general, the view is that solar risk-adjusted returns are more steady than wind risk-adjusted returns are.
Puneet Gulati: Understood. And of your overall capacity -- yes, sorry.
Anunay Shahi: So I was just saying that if you see the presentation, on Page 15, and then we have the updated configuration on Page 41, so basically what has happened is with the fall in BESS prices and the new configuration, essentially our CapEx for the build-out is going down by around INR 60 billion. Whereas, on the other hand, the EBITDA is only declining by around INR 6.5 billion to INR 6.8 billion. So effectively, our EV EBITDA for the under-construction portfolio is improving a bit, apart from obviously having greater control of execution and more predictable cash flow. So even from a return perspective, because of where BESS prices have trended and solar prices have trended, it's more -- it's better for our returns.
Puneet Gulati: Understood. And secondly, in your overall production or capacity, how much would be under T-GNA? And what sort of curtailment would you have faced in the third quarter?
Sumant Sinha: In the current quarter. See, the T-GNA is -- it's not a fixed number. If you just ask for the last quarter, actually, some of our projects actually moved from T-GNA to GNA. So I can't give an exact number, but it's probably in the few hundreds of megawatts now. I think it was maybe close to 1 gigawatt earlier, now it's perhaps down to 400 megawatts, 500 megawatts, because 500 megawatts or thereabouts moved from T-GNA to GNA. But as you build new projects, it depends on the substation that you're connecting into. If that substation has not been properly connected at the back end through various other transmission lines to the rest of the national grid, then any project that connects to the substation faces or gets T-GNA. And then whenever those back-end transmission lines get built out, then that T-GNA converts to GNA. So it could be that a project is on T-GNA for a quarter or 2 quarters and it's some part of the new projects that you're building out. So there -- so that is the way it's sort of working. There could be 500 megawatts, 700 megawatts that are at any given point in time on T-GNA.
Puneet Gulati: Okay. And on the T-GNA capacity for last quarter, how much would be that faced curtailment?
Sumant Sinha: Anunay, do you have those numbers?
Anunay Shahi: Yes. So Puneet, when we started the last quarter, there was roughly, as Sumant said, close to 1 gigawatt of capacity on T-GNA, out of which about 600-odd megawatts moved to permanent GNA. So currently, we have maybe somewhere 400 megawatts or a little below that which is on T-GNA.
Sumant Sinha: And by the way, when something is on T-GNA, it doesn't mean that it's getting fully curtailed. It just means that there is some degree of curtailment, which could be 10%, 20%, something in that range. And that also depends on -- yes. Yes. And that also depends on the day and the demand and all of those things.
Puneet Gulati: Got it. And lastly, you talked about your target leverage ratio at 5.5% for fully constructed portfolio. You're already at 5.6% for your operational portfolio. How much more do you want to bring your leverage down? Is there really a need to bring down leverage, once a portfolio is constructed, it should automatically be there? Or there is a general need to bring down a large leverage?
Sumant Sinha: Kailash, you want to take that?
Kailash Vaswani: Yes, I can take that.
Anunay Shahi: One thing I'd clarify -- one thing I'll clarify, Puneet, sorry, Kailash, before you answer, is, Puneet, when we say 5.5x, it's the headline leverage. So whereas right now, it's closer to 6.5x, 6.6x. The intention would be to bring it down to that level over time. But yes, Kailash, please.
Kailash Vaswani: Yes. I think, Puneet, so that's one clarification, and the other thing is that overall feedback that we have received and we also believe strongly in that, is that we need to have more accruals coming to shareholders than to debt providers. And in that context, obviously, bringing down leverage is the easiest way to do that. Because I think cost reduction, we have managed to achieve as much as we can, but I think it's just a headline debt number, which takes out the free cash flows to the firm. That's the reason why we'd like to bring it down.
Puneet Gulati: Understood. 6.7x going down to 5.5x is what one should think about. Any target date in mind or year in mind?
Kailash Vaswani: No. So I would say that, basis, whatever number crunching that we've done, I think, by between '28 to '30 time when we'll be able to achieve this.
Operator: That does conclude our Q&A session and our conference for today. Thank you for participating, and you may now disconnect.